Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Paramount Group fourth quarter 2024 earnings conference call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Please note that this conference call is being recorded today, February 20th, 2025. I will now turn the call over to Tom Hennessy, Vice President of Business Development and Investor Relations.
Tom Hennessy: Thank you, operator, and good morning, everyone. Before we begin, I would like to point everyone to our fourth quarter 2024 earnings release and supplemental information which were released yesterday. Both can be found under the heading financial results in the investor section of the Paramount Group website at www.pgre.com. Some of our comments will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements, which are usually identified by the use of words such as will, expect, should, or other similar phrases, are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our fourth quarter 2024 earnings release and our supplemental information. Hosting the call today, we have Albert Behler, Chairman, Chief Executive Officer, and President of the company, Wilbur Paes, Chief Operating Officer, Chief Financial Officer, and Treasurer, and Peter Brindley, Executive Vice President, Head of Real Estate. Management will provide some opening remarks, and we will then open the call to questions. With that, I will turn the call over to Albert.
Albert Behler: Good morning, everyone. Thank you for joining our call today. Yesterday, we released our fourth quarter results, reporting core FFO of $0.19 per share, bringing our total for the year to $0.80 per share, which is at the high end of our most recent guidance range. Looking ahead, we have initiated 2025 core FFO per share guidance with a range between $0.51 and $0.57 per share, along with the 2025 leasing guidance range between 800,000 and 1 million square feet. Wilbur will review our financial results and guidance in greater detail. In the fourth quarter, we leased approximately 109,000 square feet, bringing our full-year total to 763,500 square feet leased. This volume is 3% ahead of last year and near the midpoint of our original guidance for the year, though it trails our revised target from November. In New York, we leased approximately 57,000 square feet in the fourth quarter. While our quarterly leasing in New York did not meet the revised targets we had set for ourselves in November, the pipeline remains robust. Peter will cover this in more detail shortly. We are seeing strong interest from a wide array of tenants, particularly in the financial services and legal sectors. This demand reaffirms our conviction in the long-term appeal of our high-quality, strategically located space in New York's core submarkets. The flight to quality remains a consistent theme as we begin the new year, with talent increasingly focused on premier buildings in core locations. Our portfolio is benefiting from this trend, particularly along Sixth Avenue, where the Paramount Club continues to be a significant differentiator in the market. This amenity has proven transformative not just in attracting new tenants, but in fostering a vibrant workplace community that enhances tenant satisfaction and retention. In San Francisco, while the market continues to lag New York, we see encouraging signs. November election results potentially signal the beginning of a political shift and, in our view, are a clear indication of reduced patience from the electorate. In our portfolio this quarter, we leased approximately 51,000 square feet, bringing our full-year total to approximately 339,000 square feet leased. Our 2024 leasing activity in San Francisco was over 40% higher compared to last year. We are definitely seeing progress as the market continues to improve. The majority of our leasing activity in San Francisco remains focused on renewals and shorter terms. The flight to quality is also evident in San Francisco's position as a hub for tech innovation, and its leadership in AI-focused venture capital funding underscores its potential for recovery. We are confident our portfolio is well-suited to capitalize on these trends. Moving to our capital allocation activities, subsequent to the end of the year, we closed the sale of a 45% interest in 900 Third Avenue, raising approximately $95 million in net proceeds. The transaction valued the property at $210 million or $354 per square foot. We continue to own the remaining 55% interest and will continue to lease and manage the property. This transaction underscores the underappreciated value of our assets in the public market, highlighting the difference between the underlying long-term value of our real estate compared to levels at which our stock currently trades. The transaction also further strengthens our balance sheet, offering enhanced flexibility in our capital allocation strategy. We ended the year with approximately $461.4 million in cash and restricted cash, excluding non-core assets and before the impact of the partial sale of 900 Third Avenue. Further adjusting for the sale of 900 Third Avenue would bring our cash and restricted cash to $546.5 million. As we experienced with our sale of 900 Third, the broader real estate transaction market continues to exhibit signs of resurgence. We are seeing an uptick in potential deals, which could signal a more active market in the coming year. The persistent gap between buyer and seller expectations also continues to narrow, potentially unlocking more opportunities. In this evolving landscape, we remain committed to our disciplined approach to capital allocation. Our strong financial position enables us to act swiftly on attractive opportunities, particularly those involving strategic partnerships where we can leverage our market expertise. Lastly, I am particularly proud to highlight that Paramount achieved a GRESB five-star rating for the sixth consecutive year in 2024, earning sector leader status in the Office Americas category. This recognition, which places us among the top performers out of over 2,200 global participants, demonstrates our unwavering commitment to environmental stewardship and sustainable operations. Our score outperformed the GRESB average by 21%, and we achieved an A rating for public disclosure, reflecting our dedication to transparency and stakeholder engagement. These achievements underscore that our focus on sustainability is not just about meeting current standards; it is about setting them. This leadership position in ESG practices increasingly resonates with our tenants and investors, who prioritize partnerships with environmentally responsible landlords. With that, I will hand over to Peter.
Peter Brindley: Thank you, Albert, and good morning. During the fourth quarter, we leased approximately 109,000 square feet, with 53% occurring in New York and the balance in San Francisco. The weighted average term for leases signed during the fourth quarter was 11.1 years. At quarter-end, our same-store portfolio-wide lease occupancy rate cash share was 84.8%, up 10 basis points from last quarter. In both New York and San Francisco, tenants continue to prioritize premier, centrally located, amenity-rich buildings. We remain focused on cultivating our strong tenant relationships, securing renewals for upcoming lease expirations, and filling our vacant spaces. For the full year, approximately 40% of our leasing activity occurred on vacant space or space scheduled to roll in 2024. The balance of our leasing activity served to de-risk lease roll in 2025 and beyond. Looking ahead, we are very encouraged by the current level of interest in our portfolio, particularly in New York, where improving market dynamics in Midtown's core submarkets, combined with our market-leading amenity offering at the Paramount Club, have helped generate significant momentum in our portfolio. Subsequent to quarter-end, we completed a significant new lease for 131,000 square feet at 900 Third Avenue, addressing both vacant and soon-to-be-vacant floors. Our pipeline continues to grow, with approximately 350,000 square feet of leases out, approximately half of which are for vacant space, and the balance for space scheduled to expire in 2025 and 2026. Additionally, we are in advanced stage negotiations for more than 200,000 square feet of proposals. Turning to the New York market, Midtown's fourth-quarter leasing activity marked the highest quarterly total since Q4 2019, exceeding the five-year quarterly average by 73%. For the full year, Midtown's 2024 leasing activity exceeded leasing activity for the full year 2023 by 38%. This increased leasing activity in Midtown resulted in 0.5 million square feet of positive absorption during the fourth quarter, the highest quarterly total in nearly 25 years. Business sentiment continues to improve, irrespective of industry, resulting in tenants' willingness to make longer-term lease commitments. In fact, there are currently more than 350 active tenants in the market in Manhattan for more than 25 million square feet, exceeding Manhattan's 2018-2019 demand profile. Increased tenant demand, coupled with conversions of select office buildings and little to no new development, is leading to a scarcity of high-quality availability in Midtown's premier buildings. We are gaining momentum in our New York portfolio, as evidenced by our current pipeline, and expect the improving market dynamics will support increased leasing and improved deal economics in the year ahead. Our New York portfolio is currently 85% leased on a same-store basis at share, unchanged from last quarter. Our lease expiration profile in New York remains manageable, with approximately 6% expiring at share during 2025.
Albert Behler: Shifting to San Francisco, market-wide leasing activity continues to steadily improve. San Francisco employees have been returning to the office at an increasing rate as more tech companies modify their workplace policy to be more office-centric. As we have seen in New York, return to work on a larger scale in San Francisco will drive increased leasing activity in 2025 and beyond. AI-based companies accounted for 86 leases totaling more than 1 million square feet in 2024 and have become an increasingly large percentage of the tenants in the market as they continue to raise significant venture capital funding. This past year, San Francisco-based companies raised $47.3 billion, or roughly 20% of the venture capital funding throughout the United States. With more than 1,400 AI-based startups, San Francisco is far and away the largest innovation hub in the United States, and where many of these leading-edge companies will operate and grow their business. While overall market conditions remain challenging given elevated supply, there continues to be a steady uptick in leasing inquiries and tour activity, which have increasingly led to proposals and an increased number of transactions. In fact, San Francisco's fourth-quarter leasing activity was commensurate with the pre-pandemic quarterly average of approximately 2.3 million square feet, resulting in the strongest full-year leasing total since 2019. We remain focused on our soon-to-be move-outs, notably the backfill of Google's space at One Market Plaza and the portion of JPMorgan's space at One Front Street that expired this year. We are currently developing plans to deliver exceptional amenities at both One Market and One Front Street, leveraging our experience from Paramount Club. We are confident that our amenity plan will resonate with existing tenants and prospective tenants alike, and look forward to updating you on our plan on future calls. At year-end, our San Francisco portfolio was 83.8% leased on a same-store basis at share, up 20 basis points from last quarter. Our lease expiration profile in San Francisco is significant, with approximately 29% expiring at share in 2025, 66% of which is comprised of Google at One Market Plaza and JPMorgan at One Front Street.
Albert Behler: With that summary, I will turn the call over to Wilbur, who will discuss the financial results.
Wilbur Paes: Thank you, Peter, and good morning, everyone. Yesterday, we reported core FFO of $0.19 per share for the fourth quarter, which was one cent ahead of consensus estimates, bringing our full-year 2024 core FFO to $0.80 per share. Same-store cash NOI growth in the fourth quarter was basically flat at negative 0.1%, bringing full-year same-store cash NOI growth to negative 1.1%, which came in better than our expectations as we continue to rein in operating expenses. While real estate impairment losses do not have an effect on FFO, I do want to highlight that during the fourth quarter, the 55 Second Street joint venture recorded an $87.2 million non-cash real estate impairment loss. Our 44.1% share of this impairment loss was $38.4 million. However, we were limited to recognizing only $29.8 million as it brought the basis of our investment in the joint venture to zero. During the fourth quarter, we executed 11 leases for a total of 108,824 square feet at weighted average starting rents of $85.65 per square foot and for a weighted average lease term of 11.1 years. We ended 2024 with 47 executed leases, aggregating 763,449 square feet. While our financial results came in at or ahead of our most recent guidance, we missed the mark on our most recent leasing activity and same-store occupancy goals. This was primarily due to a significant lease that fell through at the goal line, which unfortunately can happen sometimes. Having said that, our leasing team came through in a big way with the execution of the 131,000 square foot lease at 900 Third Avenue in the first quarter, which sets us up nicely as we move into 2025. As Albert indicated earlier, in January, we sold a 45% interest in 900 Third Avenue at a gross asset valuation of $210 million. The sale yielded us net proceeds of approximately $95 million, of which $9.5 million was reflected in the $461.4 million year-end cash and restricted cash balances, and the remaining will be reflected on our balance sheet at the end of the first quarter. As most of you know, 900 Third was one of the assets supporting our unsecured credit facility. In order to permit the sale of the asset, we modified our credit facility to reduce the number of assets supporting the facility and improve certain covenants, while limiting our borrowing capacity to $200 million. Now let me turn to our 2025 guidance. We expect 2025 core FFO to be between $0.51 and $0.57 per share, or $0.54 per share at the midpoint. This represents a $0.26 per share decrease from the $0.80 reported in 2024. The $0.26 decrease in core FFO is comprised of the following: a $0.17 decrease in cash NOI, resulting primarily from the scheduled lease expirations, including that of JPMorgan and Google in our San Francisco portfolio, which has been telegraphed for quite some time; a $0.04 decrease in non-cash straight-line rent revenue; a $0.02 decrease from the disposition of a 45% interest in 900 Third Avenue in January 2025; a $0.02 decrease in fee and other income due to lower yields and certain non-recurring fees earned in 2024; a $0.01 decrease in lease termination income, which we typically do not budget for; a $0.01 increase in interest and debt expense, partially offset by a $0.01 decrease in general and administrative expenses. We expect same-store growth to remain negative in 2025 and range between negative 11% and negative 7% on a cash basis and negative 13% to negative 9% on a GAAP basis, driven by the significant lease expirations in 2025. And we expect our leasing velocity to improve in 2025, and our goal is to lease between 800,000 and 1 million square feet. Notwithstanding that leasing goal, we expect year-end same-store occupancy to remain roughly flat given the significant expirations in 2025, and we are guiding to a year-end portfolio-wide same-store lease occupancy rate between 83.9% and 85.9%. While we do not give specific guidance metrics with respect to New York and San Francisco, I will say that our assumptions include that occupancy in New York will continue to improve in 2025, while occupancy in San Francisco will further deteriorate in 2025, driven by the sheer magnitude of the JPMorgan and Google lease expirations. Please refer to page six of our supplemental package and our investor deck for additional information regarding our 2025 guidance. With that, operator, please open the lines for questions.
Operator: Thank you. We will now be conducting a question and answer session. A confirmation tone will indicate a line is in the question queue. You may press star two to remove yourself from the queue. Participants using speaker equipment may need to pick up their handset before pressing the star keys. One moment, please, while we poll for questions. Our first question comes from the line of Steve Sakwa with Evercore ISI. Please proceed with your question.
Thomas Hennessy: Thanks. Good morning, everyone. This is Thomas on for Steve. Just got a quick question on the deals that you were unable to sign, specifically the one that you were mentioning that fell through at the finish line. Could you maybe talk about the reasons why that happened? Maybe if it was location-based, if the tenant was hesitant, or if you could not agree on rental wages, just for us to understand a little bit of color here would be helpful.
Peter Brindley: Sure. This is Peter. Good morning. You know, the ultimate reason is not entirely known. It is highly unusual for a lease to be at execution and for it to be pulled, and so that was really very unfortunate. I think it is probably more productive, quite honestly, to talk about our plan going forward, and we have a couple of tenants that are very seriously interested in these two floors right now. And so while this other decision, I think, the other tenant that did not ultimately transact is mulling what they will ultimately do, I think we will likely proceed with a really very creditworthy tenant for those two floors in the not-too-distant future. In fact, we think we are getting close. So we think we will have a good story to tell. Ultimately, it was unfortunate, but those two floors at the base of 1301 are squarely in the middle of where all of this activity that you are familiar with along Sixth Avenue is occurring, and it sits directly on top of arguably the finest club in New York, and I am referring, of course, to the Paramount Club, which is at 1301 Avenue of the Americas.
Albert Behler: That should help you. I mean, it is really unfortunate, as Peter was saying, and very, very, very unusual for something like this to happen. And I feel for Peter and the team. The only good thing here is that the current leases that Peter and the team are talking about are significantly higher in rent. And I think that is a good momentum that we are going to see now here at the beginning of 2025. That finally, we can push rent a little bit, and that goes across the portfolio in New York.
Thomas Hennessy: Got it. That makes sense. I appreciate the color. And maybe one follow-up question if I may. Could you maybe touch on the progress or the current stand for the two non-core assets, so 111 Sutter Street or Market Center, in terms of potential sale or lender resolution or just kind of, like, the thoughts as we stand now in the beginning of 2025, that would be helpful.
Wilbur Paes: Sure, Thomas. And, you know, I do not think there is much to talk about 111 Sutter yet, frankly. If you recall, we got an extension there that runs through the end of December 2025. So, you know, we are going to resume conversations with the lender on that front, but as we have highlighted before, there is no risk to Paramount's balance sheet with respect to 111 Sutter because, you know, we are not funding the debt shortfall. We continue to manage the property, and we have optionality on that asset. Market Center, I am sure you guys have all seen the press reports. And you saw our disclosure, you know, that asset is in the market. That deal has been awarded. We continue to work with the lender to sell that property, and, you know, that remains ongoing. We expect a resolution perhaps, you know, as early as the second quarter. At which point, the assets will come off our books, the debt will come off our books, and we will recognize a tax loss that we can play around with.
Thomas Hennessy: Great. That is what I mean. Thank you.
Wilbur Paes: Thank you.
Operator: Thank you. Our next question comes from the line of Blaine Heck with Wells Fargo. Please proceed with your question.
Blaine Heck: Great. Thanks. Good morning. The 2025 leasing target is 900,000 square feet at the midpoint, seems maybe a little ambitious relative to the 763,000 that you did in what some would argue is a pretty strong New York leasing market in 2024. So can you just talk about what gives you confidence in that acceleration in 2025? And related to that, I think Peter said there is around 500,000 square feet of leases under contract or in advanced stage negotiations. So that would leave 400,000 of speculative leasing to get to the target. Is that kind of the right way to think about it?
Albert Behler: Yeah. Hi, Blaine. Let me see. I am doing well. Let me start maybe answering the question going back to 2024. The market was very fragmented with regard to leasing. A lot of the leasing happened in the Park Avenue area, and we do not have an asset there. Our asset is 900 Third outside of that submarket. And it seems to be moving, and with regard to high-quality properties, there seems to be a lack of assets, and the market is moving more towards Sixth Avenue and the west side. And that is why we are quite confident that the leasing guidance can be achieved. And especially with the mishap that happened in the fourth quarter on that one transaction, we were really counting on that being done, and it was really pretty much ready to be signed. And that space, as Peter was saying, is already marketed to other tenants who were basically left on the sidelines, and that is a significant square footage. So we are very confident that we achieved this guidance.
Blaine Heck: Okay. Great. Thanks, Albert. Yeah. Go ahead, Peter.
Peter Brindley: Just to add to that, you know, we are sitting here. It is just about March. We have, as I mentioned, leases out at various stages, but leases out nonetheless of 350,000, call it two-thirds of which is in New York, and then I mentioned advanced stage proposals for 100,000 or more, and, of course, there is quite a bit on that in terms of proposals being exchanged. But just in terms of what we are seeing in the market, the way our offerings are positioned, we feel very confident as we sit here in just about March, call it, that we will achieve what we put forward by way of velocity and 900,000 at midpoint.
Wilbur Paes: Blaine, you had one question in terms of dimension in that speculative just to clarify that, your math does not include in the speculative the 131,000 square foot lease that was already done. Right? When Peter is talking about a 500,000 square foot pipeline, that is excluding the already executed lease that took place in the first quarter. So your 400,000 of speculative math would get reduced at a minimum by that 131,000 square foot lease.
Blaine Heck: Got it. That is very helpful. Then, Peter, maybe sticking with you. You know, leasing CapEx as a percentage of initial rent is the highest level we have on record in the fourth quarter. Can you just talk about whether there were any specific leases that drove that increase and more generally kind of what you are seeing with respect to concessions for new leases on the market?
Peter Brindley: Sure. Sure, Blaine. I would not read into that as a trend. What really drove that was a deal that we chose to turnkey space in order to build it for a tenant. It was on a lower floor in one of our buildings, and as a percentage of initial rent, that turnkey was a little bit higher than where we have been historically. But generally speaking, what I expect we will see in the year ahead is, I think, for owners, certainly Paramount, that have well-positioned premier type assets, we will have pricing power in the year ahead, particularly for higher floors. Eighty percent of Midtown's availability is on floors 24 and below. So interestingly, when you have an upper floor, it is becoming increasingly scarce, and I think as a result, we have pricing power. Concessions we know are elevated. They certainly have stabilized. I do think given that Midtown is being picked over real-time, some tenants out in the market a little bit earlier and their objective is to not pay double rent. So, you know, for that reason, I think free rent will likely remain where it is and probably start to come down at some point, but remain where it is just in the near term for that reason. And I think TI's may start to come in a little bit as the market continues to tighten. I recognize that over the last three or five years, inflation has had an impact on the cost to improve space. But that being said, I do think that this market is moving very quickly in Midtown specifically. We feel really very good about fundamentals improving. And we think that our product mix will allow us to, like I said, achieve better net effective rents in the year ahead.
Wilbur Paes: Blaine, just to add to what Peter said, I mean, you and your comment that it, you know, it screened as being very high. Aside from the fact that you had the turnkey recognized that you had only 100,000 square feet of leasing activity or so in the fourth quarter. So you have a turnkey. You have it on low floors. And so, and you have limited activity, so that number screened high. If you look at the full year based on the 763,000 square feet that was leased, those numbers are more in line with what we have been reporting quarter over quarter, more in line with what peers have been reporting. And so, you know, quarterly metrics can fluctuate, but it is important to highlight that it was on very limited activity.
Blaine Heck: Got it. That is absolutely fair. And one more if I can. You know, I know we are just starting 2025, and I appreciate your commentary and transparency on the 2025 move-outs. But I wanted to ask if you could give any color on the largest expirations in 2026 and your updated thoughts on which are likely move-outs and which are still in negotiation.
Peter Brindley: So, Blaine, I would say that a number of the expirations in 2026 are currently in negotiation and under discussion. But certainly, I think that the largest known move-out, you know, if you look at New York's, Showtime represents the largest likely move-out in 2026. And so, you know, 57% of our 2026 expirations will occur at 1633, driven largely by Showtime. I will tell you that we have several tenants that have expressed interest in this block of space, you know, the number of high-quality blocks in Midtown continues to dwindle. And so we are active on that block of space. But that is the largest, I would say, at this point likely move-out in our portfolio in 2026. And if you think about the largest sort of moving parts in San Francisco, you have Morgan Lewis, Autodesk, Visa, and KPMG. I think Visa is a known move-out, and KPMG is a known move-out. The other two, I think, are too soon to comment on.
Blaine Heck: Great. Very helpful. Thank you, guys.
Peter Brindley: Thanks, Blaine.
Operator: Thank you. Our next question comes from the line of Ronald Kamdem with Morgan Stanley. Please proceed with your question.
Ronald Kamdem: Hey. Just two quick ones. Just on San Francisco, you know, we have heard sort of different REITs, different property types talking about the turnaround coming there, and I am just curious, just commentary on the market overall and how you are feeling today? And then if you could just specifically on some of the expirations, just remind us what the plan is for the backfill, large tenant, small tenant, redevelopment, just what the plan of attack there would be helpful.
Albert Behler: Great. Let me start on that, and thanks for asking the question because San Francisco, despite the fact that we did significantly better leasing in 2024 than in 2023, seems to be getting quite active already in the first two months. And I think the impact might be that we have new leadership there, and the new mayor, London Breed, is setting new goals. And I think the leadership change in Washington might have brought more clarity to some of the tenants that are very active in the San Francisco market. So even in the first two months, we already increased, and Peter can go into details of what I am talking about, leasing demands, showing space. And as you know, our assets are in good quality locations and are of good quality. So we, and we always have said this over the last at least six to eight earnings calls that San Francisco seems to be lagging behind New York. The economy is not as diversified as in New York economy, but now it seems to be picking up also with the move of people being back in the office, large tech companies who, for example, the chairman of Salesforce had said initially after the pandemic that nobody had to go ever back to the office, now is calling for five days in the office. So those kinds of samples are important to change people's attitude. Peter?
Peter Brindley: And then adding to what Albert just now outlined, you know, we all are well familiar with the supply-demand problem in San Francisco. And I think we are all assessing real-time what is happening here. I can tell you it generally out in the field feels actually much more active to start the year. Tour activity is up. We have had a number of inquiries, a number of broker calls. Return to office is happening in a more significant way. We all know that the fuel that drives leasing velocity, venture capital funding to San Francisco-based companies, has been quite significant, and these early-stage companies are all acknowledging the importance of the office in order to execute on their lofty plans, and so they are out in the market. We are well-positioned in that CBD will likely be, you know, the North and South Financial District will continue to be, I think, the first submarkets to recover in all of this. This is where the majority of the leasing velocity is occurring. And so all of this is just now percolating. We have a plan, of course, to backfill the known move-out, as you asked about, with Google and JPMorgan. We have, you know, several leases out between the two buildings, and we have a good amount of tour activity. We are also working now to work through our amenity plan. You know, it is one thing to talk about amenities. It is another to have, I think, the skill to execute on amenities that actually do move the needle for our tenants. And so we are putting quite a bit of work into leveraging what we have learned at the Paramount Club and what we are able to deliver and do that in a San Francisco way at our properties in San Francisco. So all of that, I think, will help drive additional velocity, but I would just say, Ron, to start the year, while we are not where we need to be ultimately by way of demand, we did just come off the best year we have had since 2019. We all would like to see more demand, but the tenants in the market profile continue to increase. And just out in the field, we are feeling generally considerably better to start the year than we did at this time last year.
Ronald Kamdem: Great. That is helpful. And then my second one is, so I saw the 279 Market Center loan. I think the plan there is working with the lenders to sell the property. So I guess if I think about the 2026 maturities, I know it is early, but any indications on what the plan for those are and where you think you could sort of refinance? Thanks.
Wilbur Paes: Sure. Look. I think the 2026 maturity is a little bit too soon to talk. The overall market continues to improve, especially in New York. A lot of the 2026 maturities are in New York. The market is improving for high-quality assets, high-quality sponsors. You know, the banks and insurance companies continue to sit on the sidelines as they work through their loan books, but CMBS issuance has picked up tremendously. In fact, in 2024, CMBS activity was 2.5x that of 2023. So, you know, the market continues to improve. Spreads continue to come in. You know, we are going to tackle that as we move into the second half of 2025 and into 2026.
Ronald Kamdem: Great. That is it for me. Thank you.
Albert Behler: Thank you. Goodbye.
Operator: Thank you. Our next question comes from the line of Catherine Wood with BTIG. Please proceed with your question.
Catherine Wood: Thanks, and good morning, everybody. Wilbur, sorry, I want to go back to your answer to Blaine's leasing question to make sure I get the numbers right. Between the 131,000 square feet of leasing so far in Q1 and roughly 500,000 square feet in the active pipeline, it leaves roughly 300,000 square feet of yet-to-be-identified leasing opportunities to hit the midpoint of guidance. Am I getting that right?
Wilbur Paes: Not necessarily. Let me just clarify one. The 131,000 square foot does not represent the first quarter leasing activity. That just represents one significant deal that was done in the first quarter. Right? So there is other activity that has been executed. And so when Peter dimensioned the pipeline, he said, look, it is 500,000 square feet, and it is growing. So you take that, right now, if you were to adjust to factor the 131, you would come up to about 270,000 square feet, plus or minus, of speculative activity, but again, that does not include other leases that have been executed in the first quarter thus far. And the pipeline is growing.
Catherine Wood: Okay. So let me try it a different way. It would then seem that roughly two-thirds of the midpoint 900,000 square feet is already identified, maybe even higher. But that seems like a very high percentage at the beginning of the year. Is that normal to have kind of that much identified for your leasing target once you give guidance, or am I thinking about this the wrong way?
Wilbur Paes: Alright. I think it depends. Look. You know, we look at the portfolio. We look at the role in any given year. We look at fundamentals in the market. We look at the pipeline. When he quotes a pipeline, you are assuming the entire pipeline is converted to a lease. That is not factually correct either. So that does not typically happen. The pipeline is more to give you guys comfort as to, you know, what do we see in the hopper? You know, 2024 and 2023, we leased slightly under 800,000 square feet. But if you went to 2021 and 2022, we leased close to a million square feet in those years. And, you know, when we sit around the table and come through, you know, the guidance and the goals, the goals have to be robust. The goals have to be stretch goals. And, you know, we try to triangulate between what we are seeing in the market as fundamentals continue to improve, and establish these goals at the onset, and then, you know, we will continue to tweak them as we go forward. But when we sat and determined these goals, it was a very good feeling about reaching, you know, the midpoint of our goal as we established it at the beginning of the year.
Catherine Wood: Okay. Then maybe pivoting it over, kind of thinking through the Albert, I think you mentioned over $500 million in cash with the closing of the partial interest sale at 900 Third. How much of that cash is earmarked for redevelopment or CapEx spending, you know, maybe, for example, on One Front which you pulled out of the same-store pool, and then how much of that $500 million could be allocated towards new investments should they arise?
Albert Behler: Yeah. That is a good question. We always consider all the options that we have, so nothing is really earmarked specifically. And it is too early to exactly identify what is required at One Front or other assets. I think I mentioned on the other call, we have to keep a certain amount of firepower. If you have a bankruptcy, you might consider share buybacks, but for the time being, we keep our options open. We want to stay liquid. And we are also looking at opportunities. And as I have said in the past, we will only go asset-light. That means we will only invest a small amount of our equity, and we will find partners who will co-invest with us. There is quite an active line of people who think the correction has been overdone, and it is more or less the perfect time to get back into the market. So the acquisition team is very busy looking at all the opportunities we have, and we are very focused on that. And I think it was a great execution for the team, and great for the shareholders to get a piece of 900 Third sold at about 25% north of what NAV currently is considered by the market. So I think that shows that the pricing might not be correct in the public markets at this point.
Catherine Wood: Got it. Appreciate the answers. Thanks, everyone.
Albert Behler: Sure. You are welcome.
Operator: Thank you. Our next question comes from the line of Vikram Malhotra with ZUHO. Please proceed with your question.
Vikram Malhotra: Thanks for taking the questions. Sorry if you answered this. I joined late. But just specifically on Google and JPMorgan, I am not sure if you gave any sense of, like, the pipeline. I know, you know, they will need to move out, etcetera, but just what are the options or how is the pipeline to backfill those two specifically?
Peter Brindley: Yeah. Hi, Vikram. This is Peter. So I did mention earlier that we have got several leases out between the two buildings, those being One Front, One Market. And tour activity, while you always want to see more demand and we are starting to see more by way of demand in San Francisco, has been steady. We are also, I think, you know, I mentioned earlier, delivering amenities, which are becoming increasingly important to tenants in San Francisco, to both properties, and so we are in the process of rolling all of that out, and that has been very well received by prospective tenants. And so, as I mentioned, we do have several leases out. Tour activity is picking up. It has been feeling quite a bit better since the beginning part of this year relative to how we felt at this time last year. And so we will have more to report in the coming quarters, but San Francisco seems to be moving in the right direction as we have said now several times on this call. And, you know, we look forward to executing on what we have in front of us and converting some of the new opportunities that have come about most recently with both the increase in tour activity and the exchange of proposals, of course. And so that is where we are currently.
Vikram Malhotra: And then just last one, is there a thought about, you know, several years ago, you JV-ed part of a small part of 1633. Is there a, I guess, a thought or interest in, you know, additional JVs or asset sales, or even just bigger picture, more strategic kind of action just given where the stock is trading perhaps absolute and relative to peers?
Albert Behler: As we had said in the past, if we find the right value and we find a partner who is willing to buy a piece of an asset and we think that is a decent pricing as we had done with 1633, as you said, that was early in the pandemic. We would definitely consider other joint ventures. And then making use of that equity and create and have flexibility and make sure that we can grow potentially with other opportunities and or share buybacks or potentially dividends as well.
Vikram Malhotra: Thank you.
Albert Behler: You are welcome.
Operator: Thank you. And as a reminder, if anyone has any questions, you may press star one on your telephone keypad to join the queue. Our next question comes from the line of Dylan Brzezinski with Green Street. Please proceed with your question.
Dylan Brzezinski: Hey, guys. Thanks for taking the question. I guess just going back to your comments on sort of the acquisition team being as busy as ever, but there still sort of being a wider bid-ask spread to really necessitate transactions to start clearing. I mean, as you guys look across San Francisco, New York, I mean, do you guys get the sense that New York is getting to a point where that buy-sell spread is much narrower than it is in San Francisco? Or can you guys just talk about that, you know, across the market footprint today?
Albert Behler: I think both markets are very different. And it really depends. Sometimes it is capitulation of an owner or the debt team taking over and really not wanting to take over. It is different in each case. And the spread, I think, is getting narrower in some cases. And there are some assets that are getting considered to be put on the market for recapitalization that were not in the market for a while. So we are looking at those as well. And I think in San Francisco, it is more that you can look for deep value, but you really have to be a believer in San Francisco coming back because the development is at least twelve months behind New York City. And that is shown in the value that you can achieve. But it is definitely riskier than investing in, at least in our kind of markets, mainly in Midtown of New York.
Dylan Brzezinski: That is helpful. Thanks, Albert. Then I guess one more touching on sort of, you know, large tenant leasing activity, especially in San Francisco. Are you guys starting to see sort of a recovery there? I know traditional big tech has sort of been on the sidelines as early as we have seen. But can you kind of talk about just the broader larger tenant activity in San Francisco, New York today?
Peter Brindley: Yeah. So I think we are seeing a lot of activity from more early-stage companies. You know, some of the traditional companies over the past year, like law firms in New York, in some cases, were rightsizing, actually, which was very different than what we were experiencing in New York with law firms. But we are seeing a lot of smaller tech activity, you know, a large percentage or about roughly 30% of the tenant in the market profile is comprised of AI companies, many of them early-stage, and they are high-octane type tenants with significant funding, but they are not looking for 30,000, 40,000 square feet. They are looking for significantly less space. And so I think your average deal size in the first half of this year might be a little bit smaller in San Francisco. But certainly, with the return to office, we are starting to hear from some of the larger tech companies for the first time who have been, you know, largely dormant for the past several years, as we all know, starting to inquire again, and that is, I think, something that we have seen in the early going this year. So I think it is not entirely clear just yet, but we are feeling very good about the number of inquiries that we have had out in the field, the number of tours that we have had. They are with not only financial service firms, law firms, but they are increasingly with technology companies that are reengaging. And so, you know, I think this will be a really very interesting year for us to see how it develops in San Francisco.
Dylan Brzezinski: Awesome. Thanks, guys. Appreciate it.
Albert Behler: Thank you.
Operator: Thank you. We have reached the end of the question and answer session. I would like to turn the floor back to Albert Behler for closing remarks.
Albert Behler: Thank you all for joining us here today on this call. We look forward to providing an update on our continued progress when we report our first quarter 2025 results. Goodbye.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.